Operator: Good day everyone and welcome to Ensco Plc. First Quarter Earnings for 2010 Conference Call. As a reminder, this call is being recorded and your participation constitute consent to its taping. I will now turn this conference over to Mr. Sean O'Neill, Vice President of Investor Relations who will moderate the call. Please go ahead sir.
Sean O'Neill: Good morning and welcome to Ensco's first quarter 2010 conference call. With me today are Dan Rabun, CEO; Bill Chadwick, our Chief Operating Officer; Jay Swent, Chief Financial Officer, as well as other members of our executive management team. We issued our earnings released which is available on our website enscoplc.com. Later today, we plan to file our SEC Form 10-Q. As usual we will keep our call to one hour. Any comments we make about expectations are forward-looking statements and are subject to risks and uncertainties. Many factors could cause actual results to differ materially. Please refer to our earnings release and SEC filings on our website that define forward-looking statements and list risk factors and other events that could impact future results. Also, please note that the company undertakes no duty to update forward-looking statements. As a reminder, our monthly rig status report was last issued on July 15. Now, let me turn it over to Dan Rabun, Chairman and CEO.
Dan Rabun: Thanks Sean and good morning everyone. Let me start by saying that our thoughts and queries with the employees and the families of the Transocean and BP especially with the crewmembers of the deepwater horizon. Offshore drillers are a tight knit community and many of our employees have friends at Transocean and BP. They will be kept in our prayers. Before Jay takes us through the financial results I would like to start by providing some color on the first quarter highlights, the state of our end markets and our current outlook. Before the end I’d like to mention that our redomestication to the UK went very smoothly. Our senior executives have relocated into London and we’re settling into our new corporate headquarters and we are own scheduling restructuring our operations to maximize the benefits of the move. I’d like to note that we have not experienced any financial impact from the recent interruptions caused by the volcano in Iceland. We have had some minor difficulty in the North Sea with crew changes and logistical support. But today it has not affected the safe operation of our rigs. Now, let me turn to operations, I will start with our deepwater business. I am very pleased to report that we achieved a 99% utilization in the first quarter including our latest new billed semis. The first well drilled by ENSCO 8501 was very challenging even for a seasoned rig. A number of complex operations took place while drilling this well and the rig had minimal downtime. Our customer is very pleased with the performance of the rig and the crew. We are starting to see the benefits of our strategy of building rigs with the same design and equipment and then leveraging our experience as the rigs commenced operations. On our last earnings call, we reported that fire damage on ENSCO 8502 would delay the commencement of the rig. I am pleased to report that the repairs were completed sooner than expected and the rig is scheduled to arrive in US Gulf in mid-May in commenced operations in August.  We were able to expedite the necessary repairs and limit the delays by leveraging resources in the shipyard where we are constructing four additional rigs of the same design. The Keppel FELS shipyard made this repair a priority and with Ensco’s capital project team completed the repairs ahead of schedule. The next rig in the series, ENSCO 8503 remains unscheduled for delivery at the shipyard in the fourth quarter within the contract delivery date. We expect significant growth in our deepwater business based on contracts already in place. Also we continue to market the remaining uncommitted rigs for work beginning in late 2011 and 2012 they may have scheduled for delivery as well as ENSCO’s 7500 that will roll off its current contract in Australia later this year. Our deepwater fleet now represents nearly half of our total operating assets and our remaining capital expending to invest for the 3 billion plus newbuild program is now approximately $1 billion. Turing now to our jackup business, utilization improved again in the first quarter to 76%. Our strategy is to drive utilization and our marketing teams are doing a good job of identifying and securing opportunities in many cases with new customers. Over the years, Ensco has a history of disposing of the selected assets and reinvesting a newer, more technically capable asset. We are committed to continue its evaluation at high-grading of our fleet. In the first quarter, we sold two of our jackups that attracted prices. We continue to evaluate opportunities to reinvest the new jackups. Now let’s discuss the markets. I will start with deepwater. They are upcoming opportunities in the short and medium term timeframe in West Africa, Brazil, Australia and US Gulf of Mexico as well as non-traditional but growing areas like Indonesia, China, Ghana, Sri Lanka and the Mediterranean. We are focusing on marketing efforts in these and other areas for instance 7500 and will be available later this year. The market is experiencing some gaps in the commitment of new long-term drilling programs in 2010 resulting from drilling plans being suspended or cancelled in 2008 during the global financial crisis as commodity prices fell. As oil prices have risen and stabilized, we have seen customers gain confidence in the long-term fundamentals and there is an increase in plans for deepwater bidding activity across several regions. We anticipate that demand for deepwater rigs will increase over the next several years as new drilling programs emerge and development drilling begins on many of the recent deepwater discoveries. We believe these opportunities encrypt the delivery of our own uncommitted semis that will be available late next year and in 2012. In the jackup market, challenges continue during the quarter in terms of declining average day rates as expiring long-term contracts signed at the peak of the market are renewed at lower market rates. We expect the rate of decline in average day rates to ease significantly though, since many of our longer-term contracts that rolled over to prevailing market rates. Also with oil prices at higher levels market day rates appear to be stabilizing as operators become more confident especially for heavy duty or high specification jackups in Asia, Middle East and the North Sea. In the US Gulf of Mexico, we are even seeing rates increase, while new rigs are coming under the market some contractors have coal stacked a large number of jackups which has helped to limit available supply. In addition, we anticipate the national oil companies and major operators we’ll begin to lock in rigs for longer periods to take advantage of the current pricing environment which will help to absorb supply and support day rates. Turning to specific markets, the Middle East, India and Southeast Asia-Pacific Rim remain very competitive jackup markets. Saudi Aramco has issued tenders for two gas rigs and two work over rigs. We expect additional tenders from them and other customers for requirement in late 2010 and early 2011. In India, activity is stable with some opportunities for upside in the future. ONGC is still in the process of negotiating rates following tenders for seven jackups against incumbents. In Southeast Asia, the high pace tendering activity we experienced at the end of last year have subsided. The majority of open tender were awarded in Indonesia, seven of the nine tenders were awarded and the other two are in the state of re-tendering. Turning now to the North Sea, demand in the Southern region remains low as current drilling economics are fragile with the UK gas prices at low levels. With more stable oil prices, operators drilling for oil are proceeding with their plan and we see a number of new inquiries surface for work starting late this year and beyond. 2010 will remain a challenging year for standard duty rigs in the North Sea and Mediterranean available programs in the Southern North Sea will be very competitive and gas and work are anticipated. However, demand for heavy duty rigs is strong and we expect full utilization of our larger heavy duty units in the second half of this year and most of them are already contracted. In the US Gulf of Mexico, utilization has improved substantially, utilization rate for premium jackups is 90% and we are starting to see term and day rate increases. Several quarters ago we were asked which market might be the first to see a recovery. While it had the lowest utilization of any region at the time, we said the US Gulf of Mexico because so many premium Jackups have left the market and because it’s typically the first market to recover. At this time we believe that at least four of our rigs in US Gulf will work continuously through peak hurricane season. And we continue to review potential drilling locations for the other two marketed rigs. We continue to develop more sophisticated methodologies to assess locations for suitability during hurricane seasons using improved soil and weather analysis. This together with improved sequencing of weather sensitive locations with our customers is improving utilization while effectively addressing our customers’ requirements. In Mexico four of our five rigs are contracted into 2012. This fifth ENSCO 81, will complete the primary term of its contract in June of this year. We are optimistic regarding a term extension for this contract. And there is interest in the rig elsewhere both in South America and the US Gulf of Mexico. As we reported in our fleet status report, ENSCO 68 has completed its contract Venezuela and will de-mobilize to the US Gulf. We were in discussions for a potential drilling program that would put the rig to work immediately upon arrival for the duration of the year. This rig has also bid on work commencing later in 2010 in South America. Now I will turn it over to Jay.
Jay Swent: Thanks Dan, my comments today will cover details of first quarter results, our outlook for second quarter and full year 2010 and a review of our financial position. Before I begin, let me remind everybody that the two jackup rigs we sold in first quarter have been re-classified as discontinued operations. So all my comments today regarding continuing operations for current and prior periods as well as future periods excludes these two rigs and ENSCO 69 that was previously reclassified. Now I will discuss our results. First quarter earnings per share were $1.33 versus $1.56 last year. Earnings from continuing operations were $1.11 per diluted share compared to a $1.59 a year ago. We earned $0.22 per share from discontinued operations worth $0.20 related to the sale of the two jackups and $0.02 related to payments received in connection with ENSCO 69. Total revenue for the first quarter was $449 million, a 10% decline from last year. Jackup segment revenues decreased by approximately 36% to $319 million. Average jackup day rates were down $55,000 year-to-year to $113,000 as shown in our earnings release and jackup utilization in the first quarter was 76% down from 82% a year ago. This decline was partially offset by deepwater revenues increasing to $130 million from zero a year ago. About one half of this amount is attributable to ENSCO 8500 and ENSCO 8501 which commenced operations in mid and late 2009 respectively and the balance came from ENSCO 7500 operations in Australia. Ensco 7500 reported no revenues in first quarter of 2009 because the rig was mobilizing to Australia. We reduced contract drilling expense for all jackup segments by approximately 9% versus a year ago mainly by proactively reducing personnel and other operating costs on our idle rigs. We also continue to negotiate cost reductions from vendors and service providers. Offsetting this, deepwater segment contract drilling expense increased $40 million due in part adding ENSCO 8500 and 8501 to the active fleet. Also in first quarter 2009, we deferred the majority ENSCO 7500 expenses while the rig was mobilizing to Australia. Overall this nets to a 17% year-over-year increase in total contract drilling expense. Now, let's discuss quarterly trends by preparing first quarter 2010 sequentially to fourth quarter 2009. First quarter revenue decreased 9% to $449 million. This decrease is attributable to a 13% decrease in jackup segment revenues driven by an $18,000 decline in average day rates offset in part by a three percentage point increase in utilization. The jackup revenue decrease was partially offset by deepwater revenues which increased $7 million mainly due to the addition of ENSCO 8501 to the fleet during October 2009 and a significant improvement in utilization to 99% versus 91% in the fourth quarter. Total contract drilling expense was down 6% sequentially from fourth quarter adjusted for the reclassification. This breaks down as follows. Jackup expense declined 7% mostly due to higher shipyard cost in the fourth quarter 2009. In addition, certain repair and maintenance projects originally planned for the first quarter now are scheduled for second quarter. Deepwater segment contract drilling expense was essentially unchanged quarter-to-quarter. Looking at other expenses, depreciation was flat at $54 million adjusted for the reclassification and G&A expense declined 8% from the fourth quarter which included higher legal and professional fees associated with our re-domestication. Cash at the end of the first quarter was $1.2 billion. Now, let’s discuss our outlook for the full year and second quarter of 2010. Our full year outlook is essentially unchanged from our prior guidance. Deepwater revenues were estimated to be up slightly from our prior outlook to $525 million. ENSCO 8502 is scheduled to commence operations sooner than we anticipated last quarter and we’ve reduced our downtime assumptions since the last earnings call. Our Jackup revenue outlook is essentially flat versus our prior internal estimate as we believe the revenue loss associated with the sale of ENSCO 50 and ENSCO 51 will be replaced by improvements in Gulf of Mexico and the Asia-Pacific region. The total contract drilling expense outlook is also essentially unchanged from prior guidance. The benefit from the sale of the two rigs, we expect will be partially offset by increased utilization across the fleet. As stated last quarter, we anticipate a significant increase in deepwater segment operating days, so Deepwater contract drilling expense is forecasted to increase approximately 85% versus last year. We expect this to be partially offset by a decline in contract drilling expense for the jackup fleet to approximately $560 million. Depreciation is projected to increase to about $225 million with the addition of our new ultra deepwater rigs. G&A expense is anticipated to be approximately $77 million, a slight increase from prior guidance. The projected increase versus last year is due to costs related to our new London headquarters and higher share-based compensation. Our effective tax rate is projected to be 16% to 17% for the full year with the reduction from last year being driven in part by the restructuring of our operations related to our re-domestications to the UK. 2010 capital spending which of course, is always subject to change throughout the year is forecasted to decline by about $95 million to approximately $765 million in 2010. The anticipated breakdown is as follows: $635 million is committed to our 8500 series rigs, $30 million is for rig enhancement projects and $100 million is for sustaining projects. Now let’s discuss the second quarter outlook. We indicated on our last earnings conference call that we expected the second quarter would be difficult and that is still the case. With revenues expected to decrease by about 11% from first quarter levels as utilization and day rates decline. Deepwater segment revenues will be somewhat lower due to 14 days that we spent this month to complete ENSCO 8501 equipment upgrades and 10 days for ENSCO 7500 scheduled repairs as noted in our most recent fleet status report. Total jackup segment utilization for the full year is projected to be in the mid-70% range but lower in the second quarter and third quarter and then higher in the fourth quarter. We expect 12 days of planned downtime for ENSCO 76 and 30 days for ENSCO 105 during the second quarter and some of our North Sea jackup rigs that are available near term are already fully contracted later in the year. We expect the average day rate that we will report for our jackup fleet in the second quarter will decline further as expiring contracts are adjusting to prevailing market rates. Moving to expenses, we anticipate second quarter 2010 contract drilling expense will increase by approximately 8% mostly due to a $6 million increase in maintenance costs, a $3 million increase in mobilization expense and $3 million associated with asset disposals. The maintenance cost increased is related to timing of maintenance projects that were rescheduled from the first quarter to the second quarter. Depreciation expense should increase slightly to about $55 million and we anticipate G&A expense will be approximately $20 million in the second quarter. In summary, I'd like to emphasis that our deepwater fleet achieved very high utilization in the first quarter and we expect deepwater segment revenues to more than double in 2010. Jackup utilization improved again in the first quarter and while there will be pressure in the near term we anticipate utilization will improve towards the end of the year. Our tax rate has improved as planned and our balance sheet has never been stronger. Now, I’ll turn the call back.
Dan Rabun: Our management has spent a great deal of time discussing with our shareholders the potential and alternatives for returns of capital. As I’ve mentioned on several occasions there is great diversity of use among our shareholders on this issue. Clearly, our shareholders prefer us to continue to reinvest in our business when we can achieve good returns. Given the strength of our capital position including $1.2 billion of cash, a 4% leverage ratio, the lowest in our peer group, our backlog at $350 million credit facility that is fully available and our positive cash flow outlook relative to our remaining capital commitments for our ultra deepwater new build program. ENSCO's Board of Directors has approved a large increase in the quarterly dividend from $0.025 to $0.35, or $1.40 per share on an annual basis. Management and the Board believe that this dividend level is prudent and sustainable on an ongoing basis. Given our track record and our financial outlook, it also gives us adequate flexibility to make additional investments in our fleet, make additional distributions and/or buyback shares under our remaining $560 million authorization; finally we will continue to assist economic energy and credit market conditions. As well as invest opportunities and our financial outlook to evaluate whether further sustainable increases to our quarterly dividend or other returns of capital maybe appropriate as a part of our overall capital management plan. Now I will turn the call over to Sean.
Sean O'Neill: Okay operator if you could open it for questions please.
Operator: (Operator Instructions) The first question comes from Jud Bailey with Jeffries & Co.
Jud Bailey - Jeffries & Co: Thanks congratulations on a good quarter, two questions, first on the 7500 Jay, I may have missed but when that rig is off of its contract in Australia. Can you walk us through, did you plan on mobilizing about the Gulf or does it depend on where the next job is and how do you treat the demobs from an accounting standpoint.
Jay Swent: Let me start with the last part of your question on the demob and we would take whatever that amount is and is revenue cause we would be completing the contract. We paid by the existing customer not by the new customer. And in terms of what’s in the outlook, we are projecting that rig is going to work somewhere through the year and when it comes to our contract.
Jud Bailey - Jeffries & Co: Okay. So you wouldn't anticipate any downtime between the current job with Chevron and its next opportunity? 
Jay Swent: I think we are looking at a number of options in the region as well as coming back to the Gulf of Mexico and there is nothing firm at this point. But I think its reasonable to expect that one way or the other the rig is reporting revenue for the balance of the year.
Jud Bailey - Jeffries & Co: And then you sold a couple of your 300 foot jackups and you are looking to opportunistically renew your fleet. Can you just walk us through how you think about that and we know you’ve expanded on the deepwater side, but maybe on the jackup side are you more leaning towards trying to buy something that’s in the market are at a cheaper price or would you consider building one or two assets with capital? 
Jay Swent: I think our real strong preference would be to buy rigs that are in the market as opposed to be adding to the rig fleet and we are continuing to look at those kind of opportunities going forward. In terms of the way we are looking at the rig sale, those opportunities come along from time-to-time and I think you have to assess each one that comes along. I think the way we look at it is, if we have an opportunity to sell an older rig, and its going to be going into a region where we are not going to find it competing with us in the near term and we are quite frankly we might not be able to find more competitively ourselves. I think we’ll be happy to buy those rigs or decelerate in that situation.
Jud Bailey - Jeffries & Co: My last question is regarding India, Dan I believe you said there was an opportunity for some upside there later in the year. Could you maybe expand on that a little bit, please?
Dan Rabun: Excuse me Jud you said India?
Jud Bailey - Jeffries & Co: I believe you said India, yes.
Dan Rabun: I think we were talking about the existing ONGC tenders that are out there. There are seven of them that are out there right now.
Jud Bailey - Jeffries & Co: Okay, so you didn't say there was something beyond that, it could be incremental? I may have misunderstood that.
Dan Rabun: There could be additionally opportunities, yes.
Jud Bailey - Jeffries & Co: Okay, right, that's all I got, thanks.
Operator: We will take our next question from Pierre Conner with Capital One Southcoast
Pierre Conner - Capital One Southcoast: Good afternoon gentleman.
Dan Rabun: Hi Pierre.
Pierre Conner - Capital One Southcoast: And just clarification, suddenly I think when you are speaking about your expectations on the rates in the jackup in particular, you mentioned that thing expected decline, I wanted to clarify your comment was around your average rates as we’re rolling off of peak and so just once you expand a bit on where you see the spot markets maybe in a couple of two or three different regions too.
Dan Rabun: Yes, you are right Pierre and it's early, we didn't get much on my prepared remarks that exactly right we have contract that were signed at the peak of the market that are rolling so just that's what driving to them. Yes, if you look at each individual market Pierre you take the US Gulf of Mexico what we are seeing right now or actually seeing a little pricing improvement in the US Gulf of Mexico I think we are pretty consistently said that the first market that usually turns when in the cycle as the US Gulf of Mexico and then the other markets kind of fall along behind it, so we are seeing some pricing improvement US Gulf of Mexico, that’s due to the result we have 90% utilization right now on the premium jackups. So we are seeing some improvement there. As they are in Asia-Pacific fleet that market has been pretty for us and I would describe it as prices are stable, the high spec rigs is the real good market out there. Middle East is a little more tricky, there’s not a lot of new fixtures out there. I wouldn’t say there is any pricing improvement there. North Sea, I think you are still seeing I think we are kind of at the bottom of the cycle from what I can tell to you, maybe the prices will bounce around a little bit more till the utilization picks back up. But in the heavy duty market we see some pretty nice rates.
Pierre Conner - Capital One Southcoast: Right.
Jay Swent: So I think here, you know, as we think about the outlook for the year, hopefully the second quarters, the last time we see a decline in jackup revenue and as we said before it was always going to be a difficult market in terms of utilization, particularly in the Asia-Pacific and the Europe markets and we see those improving in both in terms of utilization for sure going-forward and I think the reading through of old contracts is just about half completed now. So I don’t think we will see any further reduction in our overall important day rate.
Pierre Conner - Capital One Southcoast: This is for Jay, there’s been a lot of things happening with the companies still listing these days, do you have any opportunity as such and what is your thought on those opportunities if you have some traditional listings?
Dan Rabun: Yes we looked at it, do a listing here on the London Stock Exchange and some other alternatives. Candidly right at the moment we had a lot on our play just getting moved over here. So we will be evaluating it, nothing, wouldn’t describe it as imminent.
Operator: We’ll take our next questions on Mike Urban with Deutsche Bank.
Mike Urban - Deutsche Bank: You talked about the Gulf of Mexico thing and that’s a surprise for you. And for years that’s been a source of supply into the international markets with so many premium rates having left that market and there is certainly some scarcity developing. Could that actually be a source of demand for either your or some of the new builds or some other competitors in the industry going forward especially as the premium rigs are no going to drilling to more deep gas prospects?
Dan Rabun: For new rigs to come into the marketplace other than the ones that are in this hemisphere, I am not sure that that market is particularly attractive just because of the long move over here and still the contracts tend to be a little bit short-term in nature but I think the market is still going to be supplied by the current supply of rigs. So as demand picks up, you see things change real quickly and as we’ve started to call I noticed they got an email that we’ve signed some contracts on some other rigs in the Gulf of Mexico, maybe Bill wants to give a little color on that.
Bill Chadwick: Right. Yes essentially rig status report was issued earlier in the month. What we now have earned contract terms for three of the jackups for the rest of this year including 68 which is mobilizing back from the Chevron working in Venezuela. Is there another four rigs in the US Gulf with two of which we believe very strongly will be working continuously for the rest of the year, but we don’t have contractually committed term, we have work programs and approved locations, it should easily take us through the rest of the year. That leads to others that we continue to evaluate locations and I am optimistic that we’ll keep them all working for the rest of the year but it is rather unusual in the Gulf where you actually have firm contractually committed term on three and good solid programs for another two for the rest of the calendar year.
Mike Urban - Deutsche Bank: So you’d see the high end of the Gulf of Mexico market more as relatively fixed supply, sounds like demand rising, so hopefully will get a little bit of pricing and term out which seems to be what's happening?
Jay Swent: I think the other thing Mike to keep in mind is windstorm insurance is still really not available during hurricane season and so the folks with new builds that are bank financed can be very difficult for them to move into the region and as Dan said for a lot of people, there is not going to be long-term contracts in that market. So it's pretty hard for somebody to make a decision to move into US I think.
Operator: We will take our next question from Dan Boyd with Goldman Sachs
Dan Boyd - Goldman Sachs: Dan, is the plan here to not build cash going forward given all the cash you currently have on the balance sheet given where we are in the cycle? Would we expect any additional return to shareholders to come through the buyback I think as you somewhat maybe imply in the press release?
Dan Rabun: Dan, ENSCO is real proud of its balance sheet and we give an awful lot of thought to what we are going to do with it and how we are going to use it so I really can't make a prediction about what it is, what are we going to be doing, but we look at every board meeting and talk about it. What we want to do is to start the returning capital to the shareholders and have a meaningful new dividend. But we also want to retain the flexibility that we think is very important to us to make additional investments in the fleet as they are at corporate transactions. Then we also can make additional distributions of capital if we deem appropriate. We also have the alternative buying back shares; we still have $560 million authorization remaining. 
Dan Boyd - Goldman Sachs: On the guidance, someone implied here but there is a step down in earnings in 2Q, costs are going up, revenues coming down. But as we looked through the back half of the year we should see revenues step up nicely with pretty flattish costs, is that correct?
Jay Swent: I think you know what we said on guidance stand is that for the full year really think of it as being unchanged from whatever you had in your prior model and obviously keep in mind that we sold two rigs and all the cost and all the revenue for those two rigs come out for the year. We’ve offset the impact of that and we are still holding even at our outlook. I think whatever modeling you previously had is probably still accurate, even though we’ve sold two rigs. 
Operator: And Ian MacPherson with Simmons & Company have our next question.
Ian MacPherson - Simmons & Company: I wanted to ask you about the sale price for the two jackups, the 50 and 51, and to the extent that you may continue to opportunistically prune the older end of your jackup fleet. Were there any characteristics of those rigs that might have made them more or less viable than your typical 250 or 300 IC jackup of that particular vintage? 
Bill Chadwick: No I don’t think there were any particular characteristics of those rigs individually. The old 780s are a good versatile rig but not one of the more capable designs we have in the fleet. So there appeared to be an opportunity here to sell those rigs in a situation where we will not compete head to head with them many time in the foreseeable future and to realize what looked to us to be pretty good cash value for them, so we took that opportunity.
Ian MacPherson - Simmons & Company: How do you think about the sustainability of the improvement in the Gulf of Mexico? I mean, relative to what is happening with gas prices and the structural challenges that the shale presents, et cetera? Do you have any visibility into what your customer's threshold economics are, and what those may allow for with regard to further pricing power for high-end jackups?
Dan Rabun: There is a certain amount of production that is going to be sustained from the Gulf of Mexico. There is a lot of investment in infrastructure gathering systems and so forth. But I think to the extent that the customer base can maintain production to beat that infrastructure at a reasonable cost, that’s what we see that they are continuing to do. Just in terms of what sort of upside pricing structure on day rates that might support I really couldn’t say. It’s a long-term proposition, it’s not a day to-day situation and with the very limited supply in the Gulf of Mexico we have seen some upward movement this year and I don’t believe there is any reason to think that that is maxed out yet.
Dan Rabun: Yes, I think two points to add to Bill’s question, one is that our ability to use these rigs during hurricane season it’s gotten a little bit better in terms of planning, but we are seeing a little bit of increase in utilization as a result of that and the point that Bill raised as well.
Operator: Our next question will come from Robin Shoemaker with Citi.
Robin Shoemaker - Citi: Dan, I think in your earlier comments, you mentioned that the deepwater market there, that some operators maybe looking now to lock in longer-term contracts, given the recent decline in deepwater rig rates. So if you were to look at your three available rigs that you are marketing, are your discussions typically multi-year in nature? Or do you think that there's a chance the deepwater market contract links may get quite a bit shorter with the supply available that's in the same late 2011, '12 time frame, when your rigs become available?
Dan Rabun: Yes, let me break into two parts, Robin. First of all, the comment was related to the marketing of jack, that is not of the deepwater rigs and typically what we see when prices get attractive and the operators see prices moving the other direction upward, they start locking in for longer-term, so I think you noticed some of our recent rig status reports, you will see it trend towards some longer-term contract. So that's what that comment was directed toward. As it relates to ultra deepwater market rates, I’ll let Carey Lowe who handles that part of the business to respond.
Carey Lowe: Yes, we see the same softness in the market in 2010 and possibly into 2011 that a lot of people have talked about and as Dan mentioned we are seeing some short to medium term work in that near term period. But with the oil price stabilizing and a number of these programs and developments are two or three year type lead time projects, we believe that that by the end of second half of 2011 when our first rig is available, we’ll see a pick up in activity and you know, we’ll take advantage of that. I would like to point out though if rates do come under pressure, you know, our low build cost will allow us to achieve higher returns in a number of this very expensive high cost builds that our competitor just have.
Robin Shoemaker - Citi: Okay. Then just a follow-up on the Gulf of Mexico, you’ve got a couple of rigs working for Apache and they clearly have been quite aggressive lately in acquiring Gulf of Mexico shelf properties. Are we looking at the Gulf of Mexico rebound such as it is driven by exploration or development or is it just kind of the usual mix of activities?
Bill Chadwick: I think right now it’s still driven by development, on the shelf of deepwater of course is a different story, but what we see right now is the jackup activity in the Gulf of Mexico is development drilling related.
Robin Shoemaker - Citi: Okay. I did notice that Apache and some of its comments about the acquisition of shelf properties did highlight exploratory potential. So are you seeing that market or any rig requirements that relate to that?
Bill Chadwick: We’re not seeing that yet, obviously, we hope it is in the pipeline, but that’s not what we are engaged on right now.
Operator: We’ll take our next question from Roger Read with Natixis.
Roger Read - Natixis: A quick question for you, it’s obvious things are looking a little better on deepwater side, as you look at the improvements in the jackup market how much of it at this point or the expectations of improvement in the jackup market, maybe I should say globally, how much of it is due to rigs that have been put on the beach temporarily versus how much of it would you say at this point is due to really and truly operators looking at more and more projects, whichever region you want to talk about in particular?
Mark Burns: You have to take a look at each region independently. I think a couple of dynamics obviously the economic situation, the global economic situation in the last two years operators have been very uncertain and didn’t have a lot of confidence in the market, their plans have been shelved. We are starting to see now with certainly with the oil price more stable, we are starting to see some operators start to announce plans in the jackup area. And for the North Sea of course we’ll see some improvement in the summer just due to the weather. And so if you walk around other markets I think it’s a combination of factors but some of these rigs have been idle, plans have been shelved and now we are starting to see a pick up in the market, in some areas.
Roger Read - Natixis: Other than in North Sea on a seasonal basis, the small improvements we’ve seen in the Gulf of Mexico and what market would you sort of put up as surprising you and maybe the level of interest out of your customers over the last let’s say three quarters or so or three months or so?
Mark Burns: The one that we’ve been most pleased with has been the activity we have seen in Southeast Asia. As Dan mentioned, tender activity in Southeast Asia in the first quarter primarily in Indonesia was quite strong, there were a total of nine tenders out in the last two quarters, so we’ve seen some good activity there. We are also starting to see some potential activity in Malaysia and Vietnam later in the year. So I think if any market other than the US Gulf of Mexico has surprised us on the upside, I have to say Southeast Asia.
Dan Rabun: I would add the typical cycle has been over the years historically Gulf of Mexico, Asia, North Sea and the reverse direction on the downside as well so. We don't see anything different than what's happened in prior cycles, but can’t be [ph] 100% certain of that.
Roger Read - Natixis: More changes, the more it stays the same. Final, I know you have gotten out of west, you got out of West Africa a couple of years ago, that's one of the areas we've been seeing some pick up. I am not asking you necessarily to comment on the contract there. Is that a region you would be willing to go back into or you prefer to just leave it to others at this time.
Dan Rabun: No, we always review all markets. When we go into a new market, we want to go into a market where we can get some synergy of calls with multiple rig type of locations and we just really haven't seen an opportunity to establish a base in West Africa. That's on the jackup side. But we do evaluate opportunities, where we are looking at is on the deepwater side, as everyone knows, West Africa is quite a robust market for deepwater activity. And there have been several fixtures or opportunities this year, tenders and we expect that there will be more and those opportunities are perfectly suited for the ENSCO 8500 series rig, so we are very closely in touch with that market place and been very active in tender activity there. 
Roger Read - Natixis: All right thank you.
Operator: And Geoff Kieburtz with Weeden & Company has our next question.
Geoff Kieburtz - Weeden & Company: Thanks very much, actually if I could just pick up on that last comment. If you were to establish a presence in West Africa with a floater, would that change your thought process in regards to establishing a jackup presence or what the scale of the jackup presence might be required.
Dan Rabun: Absolutely.
Geoff Kieburtz - Weeden & Company: Okay, I wanted to go back down to your comments regarding prepared comments about the dividend you mentioned possibility of additional distributions. I assume you are talking about either special dividend or share re-purchase when you made that comment. Can you give us any sense of how those might stack up, if we think about additions to the regular dividend, special dividend and buy back?
Dan Rabun: What I said is we wanted keep our balance sheet so that we had flexibility to consider that. So I think that was the context in which I made the statement. And the answer is there is a huge diversity of view on this subject amongst our shareholders in our board, and we looked at, we look at all three of those alternatives and for now we decided to do what we are doing. We will continue to evaluate that and make decision at that time.
Geoff Kieburtz - Weeden & Company: Okay, and if I could one last question on Brazil, I think you’ve said before that the 8500 series rigs are pretty well suited for the operating environment in Brazil, is that correct?
Dan Rabun: Yeah I mean, you know the operating, 8500 hundred series is perfect from Brazil, Gulf of Mexico and West Africa and Asia. 
Geoff Kieburtz - Weeden & Company: I guess in-light of that, how are you thinking about the current tendering process for new builds that would require local content, i.e. being built in Brazil?
Dan Rabun: Let me turn that one over to Carey because he is the one who has been handling that.
Carey Lowe: We are very carefully studying that tender process. It’s interesting because it is a large number of rigs with the biggest operator of deepwater rigs in the world. But we are just carefully considering our participation in that tender.
Geoff Kieburtz - Weeden & Company: Okay. Do you expect that those tenders are going still going to stay on the current schedule? Do you think that that’s going to slip again?
Dan Rabun: We’ve got no indication if that’s changing.
Operator: We will take our next question from Scott Gruber with Bernstein.
Scott Gruber - Bernstein: In the press release following the sale of the ENSCO 50 and 51, you highlighted the potential to acquire premium jackups. Are you sensing a clear preference for premium jackups from operators in Southeast Asia and Middle East where those two rigs were operating?
Dan Rabun: Bill, will you take that?
Bill Chadwick: I think clearly we do. Operators are looking at more demanding drilling prospects and I think the beauty of the high spec rig is that it can do everything that lower spec rig can do and a whole lot more. So it’s our judgment that we will see higher spec jackups becoming more and more as a preferred tool for more and more customers in Southeast Asia and other areas as well.
Scott Gruber - Bernstein: That makes sense. And a large number of the new jackups are still in the construction queue will be owned by Asian drillers. Are their fleet expansions changing the negotiations in the region? Do you have to increasingly offer premium rigs and premium service qualities to compete?
Dan Rabun: The answer to that question is no. Most of the rigs that are owned by the Chinese drilling contractors are going to China but the ones that are competing in the market where we compete; we have not seen any of it. They seem to have very good price discipline and seem to run a fairly good operation.
Scott Gruber - Bernstein: Yes. I mean, there are a fair number of rigs being built by Indian drilling companies, the Egyptian drilling companies? You're not seeing a material impact in those markets?
Dan Rabun: I think we have talked about this on a couple of calls and we went through this exercise again this week. If you take the schedule of new built jackups and you study it very, very carefully and you see who is building the rigs and first of all your question of what is actually being built and delivered, that’s one cut. And then you take a look at where the rigs are going to be utilized and what markets and there is an awful lot of these rigs going to be going to very specialized markets. It's surprising and it's always surprising to me when I do this analysis, how few rigs that are coming into the markets in which we compete. So we do not expect a material impact of new built jackups in the markets next year in which we operate.
Scott Gruber - Bernstein: Okay, great, that's all I have.
Operator: We will move back to Joe Hill with Tudor Pickering Holt & Company.
Joe Hill - Tudor Pickering Holt & Company: Good morning. Gentlemen, I was just a bit curious about a couple of things. Given that you sold the 50 and the 51, I was just curious as to how deep the secondary market is for older equipment in the jackup space? And I understand that most of this stuff goes to accommodations usage, because obviously the sellers don't want to see it back out competing against them. How many more jackups do you think the market can absorb that way?
Dan Rabun: Bill, you want to take that?
Bill Chadwick: I think it’s a question of specific opportunity. With the two jackups we sold, we sold into a specific opportunity that was created by a tender in India and probably didn’t exist apart from that tender. There are other specific opportunities for specific types of equipment that we look at but I think in our view that the huge rig market if you want to realize optimum value is very much opportunity-driven. It’s not a market that exist all of the time, there are opportunities from time to time driven by specific requirements and once those requirements are satisfied, there’s very much less of a market until the next opportunity comes along.
Joe Hill - Tudor Pickering Holt & Company: Okay. That's very helpful. Thank you. And then my second question was regarding mobilization expenses, and given the influx in new capacity we're seeing in the market, what your expectation for mob costs are going forward and maybe if you could help us with some common route costs for mobs for Singapore to Brazil, or West Africa or what not?
Dan Rabun: Well, I think if you’re asking the question has the practice changed from the operators thing for the mob and demob, the answer is no. I think that probably about as relevant as we need to get it.
Joe Hill - Tudor Pickering Holt & Company: Yeah.
Dan Rabun: The cost is what it is and the operators are paying for it.
Joe Hill - Tudor Pickering Holt & Company: Okay, but I guess really where I’m going to this is ultimately, if the operator’s bearing the cost of the mob, then there is probably an umbrella for some of the older equipment to keep working in spite of newer equipments being available, I would take it.
Dan Rabun: An operator is going to take the equipment that is closest to the job they can technically do it. You get out in Asia and there’s a lot of technical capabilities, though it is not necessarily the location of the rigs.
Operator: Alan Laws with BMO Capital Markets has our next question.
Alan Laws - BMO Capital Markets: First question I have, though, is can you comment on the potential for corporate consolidation? You mentioned it a few times in this call, and maybe provide your thoughts on Ensco's potential role in that, you are a pretty attractive dance partner, I guess, is a better way to say it. 
Dan Rabun: I don’t think the environment has changed a whole lot since the last couple of quarters. What has changed I think from Ensco’s perspective is we continue to have a pristine balance sheet. We have moved to the UK and have enabled to establish ourselves with a very competitive tax rate. We believe we have a competitive advantage if looking at M&A opportunities and we’ve always been very aggressive at analyzing these things and we are going to continue to do that and try to use all this hard work that we have done to get us in a competitive position to our advantage. So yeah we will continue to look.
Alan Laws - BMO Capital Markets: So the reincorporation did have some aspects of tax restructuring that allowed for more attractive M&A?
Dan Rabun: We feel very good about how we are situated today.
Alan Laws - BMO Capital Markets: Then my follow-up is from an asset purchase side, then. Are the stars aligning for buying jackup rigs with the rates kind of finding bottom and not yet call it fully robust demand? Kind of, are the bid those spreads getting more constructive?
Dan Rabun: I think Alan my sense is that you still have people who are living in the yesteryear and still want premiums to what they paid for rigs or want to least get back every dollar that they may have paid when they bought at the top of the market. So as Dan said, we have lots of conversation with people and I haven't seen that the sellers have come down particularly in their aspirations on price and so I think the bid spreads probably about where it has been through the last few quarters.
Alan Laws - BMO Capital Markets: Any movement on cash versus equity?
Dan Rabun: They want cash because you are talking to creditors generally. 
Operator: We’ll now go to (Inaudible) with Carnegie.
Unidentified Analyst : In terms of the contract opportunities of tendering activity in Q1 versus Q4, did that sort of change materially or is it about the same?
Dan Rabun: I think what you are going to see if you look at our rig status report, it’s contracts coming on stream during the second quarter, late in the second quarter that have an affect on utilization in prior quarters that are uncontracted at the beginning of the second quarter. So you have quite a few unusual number of rigs coming off contracts at the beginning of Q2 or the end of Q1. They don’t fix back up until later in Q2 and we do see some increase in tendering activities as well. So it’s combination.
Unidentified Analyst: Just a follow-up on the previous question on buying premium jackup assets. In terms of new build prices have they sort of also come down materially and then pushing down second hand values or come some sort of playing out?
Dan Rabun: Call Swent, we just answered that a few minutes ago so.
Operator: Certainly we will take our last question from Matt Bebe with Morgan Keegan.
Matt Bebe - Morgan Keegan: With the desire to high-grade the fleet, is the Ensco 60 more likely for divestiture, or is it possible that we see that reactivated with strengthening US demand, or do you think it stays cold stacked?
Bill Chadwick: Sure we consider all of our opportunities for the 60, if we had a specific opportunity to divest it what we thought was good value, we consider that. But at the same time we are always considering opportunities to put it back to work. We haven’t ruled that out at all. 
Dan Rabun: Just one thing on this high grade of fleet you know general comment, if you look at the Ensco fleet 10 years ago it doesn’t look anything like it does today. And I can probably say that 10 years from now the fleet you are looking at today won’t look the same either. You know it’s a very dynamic process that we have been continuously evolving the capability of the Ensco fleet and we are going to continue to do that. Operator thanks very much and we will conclude the call at this point. Thanks everybody for participating.